Operator: Good day, everyone, and welcome to the Mack-Cali Realty Corporation third quarter 2013 conference call. Today's call is being recorded. And at this time, I would like to turn the call over to the President and Chief Executive Officer, Mr. Mitchell Hersh. Please go ahead, sir.
Mitchell Hersh: Good morning and thank you for joining Mack-Cali's third quarter 2013 earnings conference call. With me today is Barry Lefkowitz, Executive Vice President and Chief Financial Officer, and participating in the call for the first time two of our co-Presidents of our Roseland subsidiary, Carl Goldberg and Brad Klatt. On a legal note, I must remind everyone that certain information discussed on this call may constitute forward-looking statements within the meaning of the federal securities law. Although we believe the estimates reflected in these statements are based on reasonable assumptions, we cannot give assurance that the anticipated results will be achieved. We refer you to our press release and annual and quarterly reports filed with the SEC for risk factors that could impact the company. First, I'd like to review some of our results and activities for the quarter and generally what we're seeing in the markets. And then as is our custom, Barry will review our financial results. FFO for the third quarter of 2013 was $0.57 per diluted share. We had healthy leasing activity with a total of almost 981,000 square feet of lease transactions. Of that, 266,000 square feet represented new leases. Our tenant retention was approximately 66% of outgoing space and we ended the quarter at 86.1% leased. Rents on renewals rolled down this quarter by approximately 11.3% on a cash basis compared to last quarter’s 6.2% cash roll down. This roll down is primarily attributable to a 20% roll down on the 10-year old AT&T lease in Piscataway, New Jersey and a number of transactions exceeding 10,000 square feet in our Westchester properties. Remaining lease roll-overs for 2013 are near 1.3% of base rent or approximately $7.4 million. Our leasing costs this quarter were $2.87 per square foot per year, down from last quarter's $3.37. Continuing the historical trends, our portfolio continues to outperform each and every market where we operate. With our leased rates exceeding market averages in Northern and Central New Jersey, Westchester and Fairfield County, Connecticut, Manhattan, Washington DC and suburban Maryland. We continue to remain keenly focused on our strategy of monetizing select office properties in order to provide capital for our diversification into the multi-family sector. As we discussed on this call last year, in July we sold Liberty Corner Corporate Center in Bernards Township, New Jersey. The four-story, a 133,000 square foot office property was sold for $18 million. I also announced on our call last quarter that we sold through a joint venture with the fund sponsored by Keystone Property Group our suburban Philadelphia portfolio consisting of 15 office properties and three land parcels for approximately $233 million. The relationship that we fostered with Keystone has afforded us the opportunity to make this transaction happen. It offers our Roseland subsidiary an opportunity to develop additional luxury multi-family properties that are in line with our reputation for building the best-in-class residential at the gateway to the Main Line in Philadelphia. In addition, Mack-Cali will have the opportunity to redeploy the proceeds from the sale into more strategic growth opportunities as well as participate in a percentage of the ups on the property as they are released. On the multi-family front, I'm thrill to share that our multi-family development project URL Harborside on New Jersey City Waterfront has received $33 million in fungible tax credits from the New Jersey economic development authority, one of the first awards under the New Jersey Economic Opportunity Act of 2013. This means that we will now commence construction on this apartment building along with our partner Ironstate Development and we believe that will be an iconic project making a signature mark on the Gold Coast skyline. This quarter we commenced operations on an 850 parking space, 17,000 square foot parking and retail property located at the New York Waterway main terminal and Port Imperial Weehawken, New Jersey. As well we are finalizing a contract to sale the rooftop of the garage to a hotel operator for a high-end flag hotel. I am also pleased to announce that tomorrow is the official ribbon cutting of RiverTrace at Port Imperial in West New York. This 316 unit luxury multi-family community feature state-of-the-art amenities such as fitness and health club, a golf simulator and a spa inspired pool with fire pit. RiverTrace was built to lead silver certification standards and all units include bamboo wood floors and the highest quality finished treatments as well as panoramic views and Carl will be speaking more about that in a few moments. Now turning to office leasing, our press release and filings describe our significant transactions for the quarter. One notable transaction is our renewal with AT&T for 275,000 square feet at 30 Knightsbridge in Piscataway, New Jersey. With that renewal the four building complex totaling approximately 681,000 square feet is almost 93% leased. Moving on to some of our financial activities during the quarter and Barry will talk more about that in a moment. We refinanced our unsecured revolving credit facility with the group of 17 preeminent lenders. The credit facility was arranged by JPMorgan Securities, Merrill Lynch. The $600 million unsecured facility which is expandable by an accordion feature up to a $1 billion carries an interest rate equal to LIBOR plus 110 basis points. This clearly demonstrates the financial community’s continued confidence in our company. And with that I’ll now turn the call over Barry, who will review our financial results for the quarter, as well as talk about our guidance. Barry?
Barry Lefkowitz: Thanks, Mitchell. For the third quarter of 2013, net income available to common shareholders amounted to $4.6 million or $0.05 per diluted share as compared to $14.3 million or $0.16 for the same quarter last year. The current period’s results include $49 million in impairment charges and $47 million in gains from property sales. FFO for the quarter amounted to $57.1 million or $0.57 a share versus $65 million or $0.65 a share in 2012. Other income in the quarter included about $182,000 in lease termination fees as compared to $407,000 for the same quarter last year. Same store net operating income which excludes lease termination fees decreased by 6.3% on a GAAP basis and 3.2% on a cash basis for the third quarter. Our same store portfolio for the quarter was 27.7 million square feet. Our unencumbered portfolio at quarter-end totalled 216 properties aggregating 22.1 million square feet of space, which represents about 79% of our portfolio on a square footage basis and 76% of our portfolio on an NOI basis. At September 30th, Mack-Cali’s total undepreciated book assets equaled $6 billion and our debt-to-undepreciated asset ratio was 39.5%. The company had interest coverage of 2.9 times and fixed charge coverage of 2.5 times for the third quarter. We ended the quarter with approximately $2.4 billion in debt which had a weighted average interest rate of 5.62%. As Mitchell mentioned before, during July, we extended our $600 million unsecured credit facility for new full year term. Based on our current rating, the spread on borrowed funds was reduced from 125 basis points to 110 basis points above LIBOR and the facility fee was reduced 5 basis points to 20 basis points. Currently we have zero outstanding on the credit facility and about $280 million in cash and an additional $55 million in 1031 funds. We narrowed the range of our 2013 FFO guidance to $2.35 a share to $2.39 a share. We intend to provide estimates of 2014 net income and FFO in December. At the midpoint, our guidance assumes year-end lease percentage around 86%, additional development spend of about $16 million, acquisition of a multi-family properties for $46 million and no additional property sales. Please note under SEC Regulation G concerning non-GAAP financial measures such as FFO, we are required to provide an explanation of why we believe such financial measures are relevant and reconcile them to net income. Available at our website at www.mack-cali.com are our supplemental package and earnings release which include the information required by Regulation G, as well as our 10-Q. Mitchell?
Mitchell Hersh: Thank you, Barry. We’d like to take this opportunity to welcome two of our co-presidents at Roseland. And ask them to share with you a sense of what we’ve have been up to, first Carl Goldberg who will talk about some of our repurposing initiatives, as well as some of our development underway at present time. And then Brad Klatt will talk a little more about some specifics with regard to some of the Mack and some of a granularity, as well as a general sense of our business plan at Roseland moving forward. So with that, Carl, would you please begin?
Carl Goldberg: Thank you very much, Mitchell, it’s my pleasure to be on the call this morning. My goal today is to talk a little bit about Roseland’s multifamily strategy for the expansion of the multifamily platform within the Mack-Cali favorably. We’re really focused right now on expanding the multifamily platform in three fundamental ways. The first is acquisition of existing buildings and particularly those kinds of buildings where we can add value with potentially the renovation of existing structures or departments within the buildings, the expansion of the amenity facilities and the upgrading management services. As Barry mentioned in his conversation, we are finalizing an agreement to acquire a building near the [Broadway] Train Station that is the prime example of that purchase and where we expand the portfolio. The main focus also has been resuming the rezoning of our continued land portfolio to provide additional development projects in the Mack-Cali portfolio. A good example of that is we are currently finalizing a rezoning process for approximately a 360 unit apartment community and Freehold Township, a very desirable Monmouth County location and we're in the process of finalizing the zoning package to build the last building in our rehabilitation area in the Downtown Morris Town location in Morris County. In the mid-term projects like these we will enhance NOI as we continue to expand the platform in those matters. One of the ways though that is unique in terms of the Roseland relationship with Mack-Cali is the repurposing of existing MCRC office properties. And that takes place in two fundamental ways. We're looking at repurposing potentially on the utilized parking lots where there are significant excess surface parking areas around existing operating buildings that could provide mixed use and multifamily development opportunities with the support of the host municipalities and in certain cases, the adaptive reuse or the total renovation of existing Mack-Cali office properties and in some cases, the demolition of those buildings and the rebuilding of an actual mixed use community. We’re currently involved in six different locations in three different states with that repurposing process. It's one that involves a lot of strategy in terms of negotiations with the host municipalities to have them appreciate how this can be a win-win situation for us as one of the primary tax payers within those municipalities and for them in terms of expanding quality of like within their municipalities, creating new land use opportunities and most importantly stabilizing and enhancing the rateable base of those communities. There is a lot of tactics and certainly one of the things that we try to do is to get the host municipalities comfortable that our multifamily approach is for renters-by-choice meaning that we go for the highest demographic renter in the marketplace, age target our buildings to minimize the impact to school age children on those host municipalities and focus on the creation and integration of high quality amenity packages. A lot of these buildings are approximate or adjacent amounts of transportation facilities and provide a quality of life that’s become very desirable for tenants in very high demographic situations. We've seen this with a diminishing in the percentage of households that own their own homes across the United States and a fundamental shift in the way households formation choose their shelter needs and the concept of renters-by-choice who enjoy a quality of life that’s not only the quality of their apartment themselves, but the amenities and the mixed use components within the community have created a compelling reason for people to choose our rental model. We have also continued to make sure that these new assets are valuable, ratable for the municipalities. And they are designed and developed for institutional grades, as institutional grade assets for renters in the highest demographic sector of our market place. Interestingly enough we have a variety of our communities nearing construction like this. And as Mitchell mentioned earlier, we’re very proud and pleased to cut the ribbon tomorrow morning on our new river trace property in the town of west New York, immediately across the Hudson River for Midtown, Manhattan, with spectacular views of the Manhattan’s skyline. We anticipate that it will draw the highest rents in the marketplace. It’s highly amenitized, adjacent to the intermodal connections with Ferry and Light Rail. And we’ll provide an excellent commuting opportunity for residents to either get to their jobs in nearby Jersey City or Hoboken or across the river into Manhattan. That's a summary of the focus on our expansion of the Mack-Cali multi-family portfolio through this Roseland affiliate. Thank you.
Mitchell Hersh: Thank you very much, Carl. That certainly put a lot of clarity on some of the goals and objectives of the strategy of this transformation and using the best in class platform that Roseland provides. I would also comment before turn the call over to talk to Brad that most of the land inventory that we own and control within the company is in extremely high barrier to entry markets, where the replication of that sort of land inventory is simply not available and that will give us a tremendous advantage in our view of developing in these intermodal transit oriented urban type locations. So having said that, and again I thank you Carl for a very full report, I would like to turn the call over to Brad Klatt now. And he will review as I said before with a little specificity some of our current activities and our business plan moving forward. Brad?
Brad Klatt: Thank you Mitch. I am pleased to be here just one year marking the anniversary of the acquisition of Roseland by Mack-Cali. This past year has been very active and a productive period for residential. And I would like to share some of the details of that productivity. Since last October 23rd, we have begun construction on almost 1,300 units of apartments representing a cost over $400 million of development expenditures. Mack-Cali’s investments in these assets is expected to be approximately $17 million. And during the construction period, we expect to earn fees from development services exceeding $9 million, and we will from these properties earn annual management fees in excess of $1.5 million. As you will see overtime, as the Roseland portfolio merges with the Mack-Cali repurposing and marketplace broad portfolios, we will increase our ownership percentage in developed assets significantly. And these assets in which we will invest $16 million to $17 million which have a total cost of $400 million, we will own almost 30%. During the fourth quarter of 2013, as explained by Mitch we are completing two properties; the 12 story river trace property Port Imperial which had a budgeting cost of $118 million and will be delivered $3 million under budget and will open tomorrow. In addition we have just opened the garages at Port Imperial in 850 space flat story parking garage located directly across the New Ferry Terminal. We are pleased to report as planned that the garage owned in joint ventures with the Town of Weehawken opens the full capacities as we close surface parking locks splited for development. Furthermore and pleased to continue as Mitch spot that we will be finalizing the contract to sale a condominium interest and the garage roof to a hotel operator to approximately $24 million. We will keep you informed of developments regarding that transaction. In addition, with respect to new development projects, we have entered into our finalizing agreements to acquire and participate in two luxury multifamily developments comprising almost 700 units with a total development cost of $266 million. Announcements regarding these transactions as well their place in our development pipeline five year plan and contributions to net income and net asset value will be forthcoming. During the past year, as described by Carl we have been quite active seeking properties that have a place in their communities adjacent to transit, surrounded a demography where the properties have been left behind. Over the last year, we have acquired and participated in joint ventures to acquire over 1,500 apartment units, representing a total cost of $412 million. We are over with our partners in these projects. We have budgeted approximately $27 million for property upgrades on these properties which we project will have material impact on the position of these properties in their markets, achievable rents and net operating income. In addition, we presently have under agreement or have agreement pending, four operating properties comprised of 649 units at a combined purchase price of $171 million. We expect all of these transactions to close, should they complete diligence over the next 4 to 5 months. Looking forward our 2014 calendar is very active, representing 1,600 units across 8 projects and $561 million of development investment. Mack-Cali's investments in these assets is expected to be approximately $85 million and our ownership percentage will exceed 50%. Most importantly, as fully described by Carl, the true fruit bearing nature of our business combination is the robust year long focus we've had on evaluation of Mack-Cali properties and many of those that can be and will be re-purposed overtime. As more fully set forth in our filings, during 2013, the residential business will be profitable, generating positive cash flow on an operating basis before amortization of deal costs. And all of our owned properties are operating above 2013 budgets. In this connection that’s set forth in our filings, we're pleased to report that our leased percentage, apart from Crystal House apartments which is undergoing a partial renovation on a continuous basis over the next 24 months, has been increased from 94.4% to 95.1% and average rent per unit has been increased almost 3% during the first three quarters of this year. As you’ll witness on an ongoing basis, the breadth and nature of our controlling interests and our property investments will allow us to accurately forecast both operating and property income. For example more than 85% of our development and management fee income forecast for 2014 that will be included in guidance will be generated by properties we owned or already have in construction. The addition of small portion of our gross revenue,, is generated by our third-party property management business, but most of those properties were owned by institutional investors for whom we are development partners in many other properties. At this early stage of our corporate transformation, we're able to generate net income from our construction development and management businesses as well as our properties. While in these early years we are both following through on our legacy joint venture commitments to financial institution investors and therefore we may not own as much of these properties as we might like, but we are starting to generate wholly-owned properties both on our acquisition and development programs. In this connection since the merger we have materially increased our ownership of two development properties by many of the joint ventures with our partners including Prudential in both Eastchester New York and the Marbella II project in Jersey City. While our multifamily represents relatively a small portion of Mack-Cali today, you can see from our 2013 and plan 2014 activities very significant commitments and patterns, committing a tremendous amount of energy, effort and capital to the development of multi-family properties, with the comparable acquisition and development pace anticipated for many years to come. While we believe we are able to acquire operating properties where the present democracy and our skill set can materially impact revenue and net income, we will do so. And of course over the next couple of years, we will zone, develop, construct and deliver operating properties from repurposing properties from the Mack-Cali portfolio. As previously described by Mitch, we operate in very high barrier to entry markets, where the time it takes to generate these properties often strains an investors patience, but the cash flow and value generated is enjoyed for many years to come. Thank you, Mitch.
Mitchell Hersh: Thank you very much, Brad. That was an excellent report on our activities and again some of our goals. I would just tell the listening audience that we've worked hard also on marketing department over the last few days to expand the coverage of our activities in Roseland on our website. And so if you would avail yourselves of our website, you’ll now get a clear picture of what we have in the queue. And so I hope that everybody who is listening agrees that this has been a variant cycle [gone] into our activities and the strategic reason that we’re moving forward with this transformation. So on closing, we look forward to closing out 2013, which is kind of remarkable that we’re almost at that point. And when we convene the fourth quarter call next year I hope to share with you many of the completions that in terms of some of the acquisition work and the development starts through Roseland subsidiary and further success in the core office portfolio in terms of lease-up and new tenants. So with that, we will now take your questions. Operator, would you set up the queue please?
Operator: (Operator Instructions) We will take the first question today from Jamie Feldman with Bank of America Merrill Lynch. Please go ahead.
Jamie Feldman: Thanks for the additional color on the Roseland platform. Can you guys talk a little bit more about your projected returns from all the capital spend? And maybe how cap rates are trending for that business and anything that may lead this quarter?
Mitchell Hersh: Sure. I mean, I am happy to have our co-Presidents chime in, but generally speaking in terms of acquisitions, we would be looking to move the needle by close to 100 basis points in excess of the acquisition price. So if you are looking at, let’s say, a 5.25 to 5.5, we would hope through the value-add based on the expertise of the Roseland team that over a reasonable period of time we can move that by about 100 basis points. On the development yields, our expectation is an unleveraged yield of anywhere between 6.5% and 7% depending on location and specific characteristics. Does that answer Jamie?
Jamie Feldman: That’s for future projects. I guess I am thinking about the sub. What about the kind of the initial investment and the projects that are currently in process today (inaudible)?
Mitchell Hersh: That is the reflection of exactly where our expectation of yield is.
Jamie Feldman: Okay. And then just generally on multi-family, what are you seeing in terms of rent growth and rent?
Mitchell Hersh: Yes. I will have Brad speak to that.
Brad Klatt: In our existing portfolio we project 3.8% for this current year. We are presently through most of our turns for the year. As you know from our filings compliance share of our rents turn, our leases of one year leases turn the second and the third quarter. So we are now at 3.2 head into 3.8 for the balance of the year and we expect to hit that math.
Jamie Feldman: Okay. And then do you have a sense on next year, any projections?
Brad Klatt: At this point we have, we are through budget camp, we do budget camp in the fall and every access, but none of those budgets have been approved by our institutional partners or by our corporate parent, so I am not at liberty to describe those results, those projections.
Jamie Feldman: Okay. And then finally, now I guess the question to Barry, just in terms of next year, can you talk about some of the largest leases that are rolling and your prospects to renew or whether we may see some more vacancy?
Barry Lefkowitz: I will take that Jamie. Certainly the most eminent situation is the Morgan Stanley lease which is in Harborside and it’s approximately a little more than 300,000 square-feet. As you are aware, Morgan Stanley consolidated into 1 New York Plaza. So that lease is not going to be renewed and that's a fairly sizeable revenue source. So I would say that's probably the most significant. We have throughout the portfolio anywhere from the 20s to the 60,000 foot tenants that we're uncertain and they are uncertain at this point as to their intentions. But again the first quarter is going to be -- will reflect the Morgan Stanley lease expiration down at Harborside.
Jamie Feldman: Okay. Thank you
Operator: The next question comes from Josh Attie with Citi. Please go ahead.
Michael Bilerman: This is Michael Bilerman here with Josh. So thanks for the helpful comments around Roseland, it's nice to have Barry on the call and going through some of the significant developments that you're having within that business. I wanted to sort of ask during the quarter you announced that the Board after their meeting made a determination to present to shareholders to de-stagger the the Board. And I'm just curious in terms of where that came out of, what sort of evaluation is happened especially given the light of sort of where the stock price is and potential activism sort of reducing your defenses rather than increasing them. So I'm just curious how all that evolved.
Mitchell Hersh: Well, we as a Board firmly committed to good governance practices and the world of public companies including REITs and other corporate, different sectors of the corporate community have essentially been moving to the de-staggering of boards so that every year the shareholders have an opportunity to way in and to opine as to their job in their view that both the Board and its counsel to management and management has done its job. And so our view of the situation is as this progression has occurred that we should be more a part of the mainstream of these good governance practices and we've been discussing for the last year at the Board the possibility or notion of de-staggering and all of the implications as you say and we have come to the firm conclusion that this is in the best interest of our shareholders. So that’s why it was done. Does that answer the question?
Michael Bilerman: Yeah. I know, I agree, this is definitely positive for shareholders. I am just curious sort of what prompted it and whether there is other things, whether there was discussion about potentially injecting some new blood into the Board and recycling some older Board members, whether that’s part of it as well in terms of other potential changes, other corporate government enhancements, or was it just a one thing change?
Mitchell Hersh: I would say that over time obviously there will be some transition because of variety of factors not the least of which was the position of age limitations that we imposed several years ago on Board participation. And we will look at the continued complexion of the Board as we move forward and as some of this attrition if you will issues impact the Board.
Michael Bilerman: And may be just one other questions on the Board, your (inaudible) Chairman and founder Bill Mack has Mack real estate ventures, which has been very active and wants to be very active in the multi-family says, how does that sort of from a conflict perspective manifest itself and how does everyone get comfortable, what potentially competing in similar markets?
Mitchell Hersh: Well, we've discussed that as well at the Board and the governance committee is part of that process, but I would say that first of all it’s probably not much different than it was when Bill Mack was heading up first, what was called Apollo Real Estate Advisors and then changing its name [AREA]. So we actually don’t see much of a difference, except they changed the name and now it’s a family practice. Most of the activity in so far as I am, most of the new activity and again I am not intimate with this, but I believe it’s on West Coast in both Los Angeles and up into the north western of the United States in Seattle and other areas. They also have some activity that they are involved in, in Brooklyn but they have been involved in that for I am guessing three or four years. So we are cognizant of it and Bill in his fiduciary role as both Non-Executive Chairman as both a major shareholder probably the largest single shareholder in the company and his family business is very aware and we don’t view it as an issue.
Michael Bilerman: And just last question just on capital allocation and certainly listening to Carl and Brad go through the significant accomplishments over the past year since coming into the Mack-Cali organization and what’s been put in place. Obviously the stock prices not reacted the same way clearly back at 28 plus years when you bought back $10 million of shares to being just around 21, 22 today. You generate a lot of cash, you sold and you’ve executed to what you have told the street to do. I guess how do you sit here today having all that cash in the balance sheet and decide to further make investments, I think Brad mentioned about $177 million of acquisitions. I am not sure if that’s 100% and fair number of future starts for ’14. How do you decide to allocate that fresh capital that’s sitting on your balance sheet to multi-family versus your stock which trades north of a 9% current, I recognize the office business is going to get worse next year with some of the rollovers but at least a north of 9% implied cap rate?
Mitchell Hersh: Good question, and the answer is that we are evaluating all options. We clearly have a defined goal with respect to the business plan at Roseland and we intend to execute it and we are confident that we can fund it. We at the present time don’t have any specific plans with respect to monetizing additional assets, but we are looking at that carefully and probably that will change as we move into 2014 and we are also evaluating other capital allocation options including but not limited to buying back stock.
Michael Bilerman: Thank you.
Operator: Next is Jordan Sadler with KeyBanc Capital Markets. Please go ahead.
Jordan Sadler: Thank you. I guess something is a follow-up to one of Michael’s question. It does seem like a good time to at least take stock a little bit in terms of the Roseland investment given the one year anniversary. And I guess at this point you have a better sense Mitch of the direction you are headed and what all it will take to sort of get Mack-Cali to what was once a target of 30% to 40% multi-family. I am curious, is that still the goal, number one to get to 30% to 40% multifamily? And given sort of your experience in the last year, how long does it take to get there?
Mitchell Hersh: Well, the goal is to, without using specific 30% to 40% is to continue to have Roseland and the multifamily sector represent an increasing share of the Mack-Cali portfolio both in terms of assets and obviously in terms of income. I think we've always felt that this a 3 to 5 year process to really ramp this up. We believe that we have a business plan that provides that Roseland at the end of that period that I’ve just described will have a significant and meaningful participation in our income stream. Now that could change by, become more of an accelerated program as a result of some monetization of the office portfolio or the non-strategic elements or components of the office portfolio. But we do have a plan and we do have some very specific targets that we are shooting for. And I would say that within that timeframe you will see this platform represent a significant part of our income stream.
Jordan Sadler: Okay. You’ve talked about acquisitions some of which are pending and have quite a bit of development potentially some new starts that you are angling for, I am curious on the disposition front. What’s, anything else teed up another portfolio maybe just elaborate sort of a thought there?
Mitchell Hersh: Yeah. Well, as was commented during the call and I just said a few moments ago that in our initial review of the 2014 numbers and again we’ll have a conference call in December to talk about 2014 guidance that initially we did not include any asset sales or disposition. We obvious and said also that that’s likely to change and that we will be selling more assets, non-core assets. So right now we have a pretty nice queue of again transit oriented opportunities where we are finalizing contracts or we're inking contracts as we speak for over 500 apartments. In the early part of 2014 we expect 160 unit apartments to close this year, so that’s about 680 units that are in contract or in due diligence periods. And all relatively new projects and one is, one or two are actually brand new. So we’ll be doing initial lease up in those opportunities. So the queue is pretty full. Brad talked about the expectations in terms of funding our development pipeline. We also include approximately $60 million in the aggregate in our share of capital requirements for URL Harborside. So we have a very good grasp of our capital needs moving forward. And as I said, our goal at this point is to self fund the business, recognizing where the stock price is and that's presently what we’re committed to.
Jordan Sadler: Okay. And the guidance timing change is that just a function of having [chimney balls] up in the air right now or is that having the Roseland process just being having a different timing?
Mitchell Hersh: Yeah. I mean I think it’s a combination of what you’ve just said, we didn’t want to rush into the guidance. And we've talked rather openly about some of the lease expirations particularly the Morgan Stanley expiration down at Harborside where by the way we’ll be doing, we've also allocated capital to doing a rather significant renovation of the older section of Harborside Plazas 2 and 3 to confirm more with work space requirements as they exist today not unlike what you’ve seen some of the lower Manhattan, New York landlords do on the West side. So we’ll be undergoing some renovations there and make it more of a 21st century work place. And that's all built into our modeling and we’re quite comfortable that we have sufficient capital resources to do all of this.
Jordan Sadler: Okay. Last one, you mentioned the age limit, what is the age limit now, I’m sorry I don’t have that in front of me?
Barry Lefkowitz: 80.
Jordan Sadler: It’s 80, okay. So nobody is quite 80 yet on the board?
Mitchell Hersh: Well, there are few that are not that far away and the Board resolution that was adopted says that you can’t stand for reelection if you are over 80 years old.
Jordan Sadler: Okay. Thank you.
Mitchell Hersh: You’re welcome.
Operator: We’ll now go to Michael Knott with Green Street Advisors.
Michael Knott: Good morning, Mitchell. I was just wondering if you could refresh us on the Jersey City apartment development, sizing and phasing, now that you’re going to be starting it and just confirm for us I think this will be by far your most important development project among all your multifamily projects, right?
Mitchell Hersh: It certainly is a very important project and we own 85% of that project and Ironstate who has done a marvelous job in developing what we think will be as I said an iconic development that really appeals to the young urban professionals and the kind demographic that suites the Harborside environment at Jersey City, waterfront environment very well. It’s Phase I which we’re geared up, we’re [shuffle-ready]. And it’s about a 725,000 square foot apartment house, 69 stories and height about 765 more or less apartments, some retail space on the street escape and parking structure above that set all of the conceivable amenities that are important today in including all of the echo and environmental sensitivities, the bike storage and the [harp] and all fitness facilities it’s going to be really a magnificent project. We are finalizing financing for the project with a life insurance company. We are pretty far down that pike. And as I said before, we got a major tax incentive, tax inducement or tax credit inducement through the State of New Jersey just last week. And so we couldn’t begin the project until we completed that process. And now we’re rearing to go and ready to go.
Michael Knott: Thanks for that summary. Can you just remind us of the cost and maybe yield expectations I assume that’s probably similar to what you outlined for your boarder multifamily program, but what are costs there again?
Mitchell Hersh: The costs there are slightly in excess of [$0.25] billion. We get, the yield expectation is in the low sixes and of course that’s based on non-trended rents. And the rest will be in the form of financing. So our capital commitment will be about $60 million. We get $30 in FAR for a land attributed to our capital account. And that’s the deal that we struck. I will tell you that it's, there was a Wall Street Journal article and so it's rumored and I can't comment, because I'm not, I have no privity in the matter of that Hartz Mountain sold a residential site just on next door to our 101 Hudson Street location in Jersey City. It’s owned for about a million square feet of apartments. And the published price at least in the Wall Street Journal was $68 million for the ground. So it gives you a sense of the increasing value of assets in that location.
Michael Knott: Okay, thanks. And then while we're talking about Jersey City and development, any update on some of the build-to-suite opportunities you’ve talked about in the past on the office side?
Mitchell Hersh: They are still circling and I think that now that New Jersey, I did read of course about Citigroup this morning reelecting to consolidate into lower Manhattan and that will be certainly very good for lower Manhattan should it occur, as well as for the landlord presumably. But now that New Jersey has passed a very important legislation called The New Jersey Economic Opportunity Act of 2013, as a matter of fact we had a symposium down at Harborside last week following just coincidently the day that we were awarded the $33 million tax credit on the panel which Carl Goldberg and I co-moderated. We had the President of the New Jersey EDA, as well as one of the most preeminent location consultants who happens to be based in Princeton, but those work all of the United States talk about this incentive program which is all now as of right without limitation funded as part of the legislative access no question about the state’s ability to fund the program. And the incentives that are being provided under that act to attract new employment in New Jersey, but in targeted areas particularly which would be Jersey City and some of the other cities is immeasurable, it more than equals the length. So effectively these programs as of right to bring new employees to New Jersey provide tax awards or tax credits which as I said before fundable, sellable or usable to offset income of per employee that’s effectively could equal as much as anywhere from $40 to $60 a square foot. So this is a very powerful tool as Tim Lazar who is the President of the EDA said at our symposium, it’s like bringing a gun to a knife fight now. So New Jersey should be a lot more competitive in attracting new jobs. And given the pressure on corporate America to raining expenses and so forth, I have to believe that this was going to have a major positive impact to Harborside and our properties.
Michael Knott: Okay, thanks. One last quick one for me speaking of Harborside and the Morgan Stanley move out or 300,000 feet, is there any prospects that you are aware of at this time?
Mitchell Hersh: Yes, we are working with several large prospects at the present time.
Michael Knott: Okay. Thanks.
Mitchell Hersh: You’re welcome.
Operator: We’ll now go to [Jeremy Matz] with Deutsche Bank. Please go ahead.
Unidentified Analyst: Hi good morning, just going back to one of the earlier questions on development yields. Can you just talk about the impacts that rising construction cost and interest rates are having on your yield expectations for future starts versus what you currently have underway and is that causing you rethink some potential future starts to be pushing down the road a little further?
Brad Klatt: While interestingly the interest rate environment has had very little impact. We've seen an acceleration in rising interest rates and then retraction and then contraction on interest rates as to Fed realized that the economy is still under significant strain and that various programs that including bond purchases need to be maintained and some interest rates, or the rising interest rates certainly have moderated. And to some extent spreads offset some of the gain in the treasury, not fully, but to some extent. And so most of the construction financing is LIBOR based financing with the spread and LIBOR has not been really altered or affected by the treasury market. So that has remained somewhat stable. Certainly long term permanent financing, lenders were bit nervous six, eight months ago, when interest rates started to move but it seems like as I just commented has settled down. Interestingly with respect to construction cost there was a spike year and half ago in some of the commodities, things like concrete, cheap rock were effected certainly as China was staffing up a lot of the inventory building out their cities, their unoccupied cities and that has really been mitigated to a large extent. And we have seen fairly consistent construction cost. We’ve dusted off everything obviously on our URL Harborside project. And we’re comfortable that the numbers there were formulated with our contractor a year ago before the legislation slowed us down are still valid today. So, so far not much impact but clearly, we will keep an eye on it moving forward.
Unidentified Analyst: So nothing giving you any hesitation on the outlook for future starts?
Mitchell Hersh: Yeah. Right now we are undeterred as based on the two parameters that you have outlined.
Unidentified Analyst: Okay. And you talked just a minute about the spread, talking about construction financing, have those spreads changed at all?
Mitchell Hersh: No they really haven’t changed at all.
Unidentified Analyst: Okay. And then one last one and I am not sure if I missed this earlier, but you had previously talked about 3% to 5% same store NOI decline, you are running at around 4.7% year-to-date. Just want to know if you are still comfortable with that range just given how things have trended so far?
Mitchell Hersh: Yeah we are comfortable on sort of normalized basis, obviously there is going to be a little volatility as a result of the first quarter and the Morgan Stanley expiration, but generally that is the trending. Unidentified Analyst Okay, thanks, I appreciated.
Mitchell Hersh: Welcome.
Operator: We will now go to Jim Sullivan with Cowen Group. Please go ahead.
Jim Sullivan: Thank you. Mitch, I have two questions. First of all in the press release or in the results you noted that you impaired assets that were assets that are securing some of your ‘14 and ‘16 maturities. And I just wonder if you could share with us how the written down value compares with the principal outstanding on the debt?
Mitchell Hersh: Well, these were assets that were acquired as a result of the Gale transaction back in 2006. And obviously there are assets that came attached with secured, primarily CMBS financing, all CMBS financing. So we took an impairment charge to reflect what we believe to be fair market value at this point. So we have already initiated dialogue with several of the vendors, we felt that it was imperative to take the impairment based on our thought process with regard to the valuations and the holding period. And so we have begun the dialogues, it’s too soon to tell how we will end up other than an initial response on one situation where we have about a $16 million more or less loan outstanding and it's a 2016 expiration and we're talking about a tranche, traditional AMB tranche situation and so effectively really marking down the loan to what I would say 60% on a principle basis.
Jim Sullivan: Okay. As I understand you’re using [8.5] cap rate to determine the value, is that right?
Mitchell Hersh: Yes.
Jim Sullivan: Okay. And then the second question and, well first to comment I guess for the Roseland participation. I think it's very helpful, I appreciate getting the granularity on how the multifamily is performing. And I did have a question really in connection with what you are doing at Crystal House with Brad and that is obviously the greater DC market has been challenged, the residential market has been challenged by supply growth at we're all aware of this more on the way. I wonder if Brad could give us update on how the Crystal House is performing relative to the underwriting when the acquisition was made. And if you could kind of share with us on the renovations that are being done, what kind of upside, well first of all cost per unit and upside projected in terms of rent for the units upon completion.
Brad Klatt: I'm glad to do that. Let me just frame it generally with respect to the types of acquisitions that we are focused on which Crystal House represents one up. Crystal House is a property which is immediately adjacent to MassTransit. It's a very important factor for an urban re-developer like us. Secondly it is in a neighborhood, if you will that is well developed, virtually all the sites around it have been developed with apartment houses or other buildings over 30 years ago. So when we look at what has happened to the demography of that particular area, neighborhood in some cases, we look at the rents that are being achieved on the basis of market, but we also look at the rents that are being achieved on the basis of an affordability index of the capacity of the renters behind each door. Crystal House was particularly attractive to us, because the demography which exists in all of the buildings around Crystal House that have been renovated escaped this building. And they escape it; one because it wasn’t reach for; but two, the asset wasn’t capable of reaching for. And so as we go into a project like this where we have acquired about a 1,000 units per se $250,000 a unit. And we look at the opportunity to invest between $10,000 and $15,000 a unit over three years, taking a redo if you will of all the surfaces that you could see inside the apartment and outside the apartment in the common areas and bringing up the amenities set to a typical Roseland amenity set and all inclusive fitness center, 24x7 activity, the concierge support systems, the integration into a full community as well as into the corporate employment base, we get very excited because it allows us to acquire property at market rate, let’s call it 5.25, 5.5, at somewhere in the range of less than 10% of the total capitalization and come out with an asset that over the three to four years of the work delivers itself on an all-in fully capitalized basis unlevered beyond a 7% yield. If we are able to do that continuously and then come to own a property which gives us a vacancy that is still 30% below what it costs to make a similar property. We get excited because we believe that in the high transit urban supported markets, those are good things to do. A lot of the softness in DC is happening outside of the district, far outside of the district. And if we are looking that in a full market basis and we would look in centric circles, you would literally say like [Sam Ladbrokes] used to say about building next to the subway that, if you are beyond walking distance, let’s call the quarter to half a mile from that's transit, you have a problem. And that's exactly what's happening, they are having the problem, and the market is definitely soft. But as you will see from the concentrations and you can see it in some of the reports of some of our peers which you can clearly see it in crystal house and the nature of our other acquisitions, inside the district, immediately outside of the district on the transit hub, very exciting. And for us an answer of question acquisition 5.25 to 5.5 initial construction has taken about 130 units offline. We will continue to have about that rate offline on a continuous basis. We will invest between $10,000 and $20,000 per unit all-in including washing machines inside the units and the other amenities I described. And it is our goal in the fourth stabilized year post acquisition to be showing net cash flow on an unlevered basis exceeding 7% on all-in cost.
Mitchell Hersh: Thank you, Brad. Jim I would also comment that of course we have additional development capability which would be four-story over parking and that’s a very popular type of design that’s been tested right next to Crystal House. The other point I would make is that portion of the units were renovated and the increase in rents were averaging from $2.11 a square foot to $2.79 a square foot in the renovated units. So based on what the adjacent apartment, the other Crystal House had done and the former owners experiment in our Crystal House, we think the rent increases given the capital investment are fairly predictable.
Jim Sullivan: Okay, great. Thank you.
Operator: And that will conclude our question-and-answer session for today. I would like to turn it back to Mr. Mitchell Hersh for any additional or closing remarks.
Mitchell Hersh: Well great. I want to thank you all for joining us on today’s call. We enjoyed having our Roseland colleagues participate in the call which intend to do on a go forward basis to continue to provide you some real, on the ground, boots on the ground type granularity with respect to what we are doing at Roseland and how we are performing at Roseland. With that I would say that we look forward to reporting to you again next quarter. However, as I mentioned before we will arrange a conference call to talk about 2014 guidance sometime in mid December. I wish all of you a good day. Thanks for participating.
Operator: Thank you very much. And that does conclude our conference for today. I would like to thank everyone for your participation. And you may now disconnect.